Operator: Good day, ladies and gentlemen, and welcome to the Insight Enterprises, Incorporated's Fourth Quarter Fiscal Year 2012 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later we'll conduct a question-and-answer session towards and instructions will follow at that time. [Operator instructions]. As a reminder, today's conference is being recorded.
 Now it's my pleasure to turn the floor over to Glynis Bryan, Chief Financial Officer. Ma'am, please proceed. 
Glynis Bryan: Welcome everyone and thank you for joining the Insight Enterprises conference call. Today, we will be discussing the Company's operating results for the quarter and the year ended December 31, 2012.
 I'm Glynis Bryan, Chief Financial Officer of Insight, and joining me is Ken Lamneck, President and Chief Executive Officer. If you do not have a copy of the earnings release that was posted this afternoon and filed with the Securities & Exchange Commission on Form 8-K, you will find it on our website at insight.com under our Investor Relations section.
 Today's call, including the question-and-answer period is being webcast live and can be accessed via the Investor Relations page of our website at insight.com. An archived copy of the conference call will be available approximately 2 hours after conclusion of the call and will remain on our website for a limited time.
 This conference call and the associated webcast contain time-sensitive information that is accurate only as of today February 14, 2013. This call is the property of Insight Enterprises. Any redistribution, retransmission or rebroadcast of this call in any form without the express written consent of Insight Enterprises is strictly prohibited.
 In today's conference call, certain non-GAAP financial measures will be referenced as we discuss the fourth quarter and full year 2012 financial results. You will find a reconciliation of these non-GAAP measures to actual GAAP results posted on our website on the Investor Relations page.
 Finally, let me remind you about forward-looking statements that will be made on today's call. All forward-looking statements that are made in this conference call are subject to risks and uncertainties that could cause our actual results to differ materially. These risks are discussed in today's press release and in greater detail in our Annual Report on Form 10-K for the year ended December 31, 2011.
 With that, I will now turn the call over to Ken to give you an overview of our full year 2012 operating results. Ken? 
Kenneth Lamneck: Hello everyone. Thank you for joining us today to discuss our fourth quarter and full year 2012 operating results.
 Overall, 2012 was a productive year for our business. Market positions were softer as macroeconomic concerns globally led to lower capital spending for our IT products. We executed well in the environment, improving the overall profitability of our sales, investing strategically in sales and services resources, successfully integrating 2 acquisitions and essentially completing significant IT systems integration projects in Europe and North America. We believe these actions will position us well as we head into 2013.
 For the full year 2012, our consolidated net sales were flat year to year as growth in the public sector mid-market were offset by lower spending by larger enterprise clients. Gross margin increased 16 basis points to 13.6%, with gross profit dollars increasing 1.5%. SG&A increased 2% as we invested in our sales force globally. As a result, earnings from operations increased 1.3% and EFO margin was consistent year to year at 2.9%, excluding certain expenses in both years.
 Within these full year results, our North America business performed well overall in 2012. Software sales increased 7% due to strong execution, new client wins and stable demand for business productivity software across the large, big market in public sector client groups. Our public sector business in particular saw strong growth in 2012 in this category, gaining market share in Federal and state local markets with new client wins.
 Hardware sales decreased 4% in 2012. Sales of hardware in the mid-market increased year to year, but we experienced decline in purchases by our large enterprise clients as we believe they rationalize investment dollars in the timing of projects.
 Services sales declined 30% in 2012, while gross profit dollars increased year over year. In 2012, we further refined the focus of our services category, selling or discontinuing certain non-core service offerings while at the same time expanding our portfolio through the development of our Cloud solution center and through the acquisition of Ensynch. As a result, we now have a more relevant set of service capabilities to bring to our clients.
 Gross margins in North America expanded 21 basis points year to year in 2012 to 13.2% due partly to the benefit of our profitability initiatives and improved margin on our services sales. And our North American team controlled SG&A very well in a slowing demand environment which drove earnings from operations growth up 8% year to year.
 In addition to the solid bottom line performance in North America, we substantially completed our IP systems integration initiative in 2012. In the second quarter, we integrated the services business to our SAP platform, implemented new project management in ticketing systems and upgraded the base software of our ERP system.
 In the fourth quarter, we integrated the remaining public sector business system and we began to integrate our software business which will continue to the second quarter of 2013. And just a few weeks ago, our Canadian business went live in the system. This project has been delivered in line with our expectations.
 In EMEA, net sales increased 10% year to year in constant currency. Hardware sales grew 25% in constant currency reflecting the acquisition of Inmac in February and low single digit growth organically which we believe is better than the market. Software sales increased 2% in constant currency due to higher sales of business productivity software products and services sales increased 22% in constant currency, showing strong growth in an emerging piece of the EMEA business.
 Gross margin EMEA declined 24 basis points to 13.9%, due primarily to the effect of previously announced partner program changes in the software category. And SG&A increased year to year due to the acquisition of Inmac and strategic investments in sales headcount to support our hardware expansion plans in the region. This resulted in the steep decline in earnings from operations year to year in EMEA and overall results lower than our expectations.
 Our Asia Pacific business had another great year. Reported net sales declined 2% in 2012 due to higher mix of public sector sales reported, net of related costs in our financial statement that saw gross margins expand 178 basis points to 17.6%. We invested in sales and services teams [ph] in the region and realized greater than 20% growth in earnings from operations for the full year.
 Moving on to our 2013 plan. Across the markets where we do business, industry analysts expect low single digit growth in hardware sales in 2013 and mid-single digit growth in software and services sales. Our plans for 2013 are focused on driving growth and access of the market across our operating segments. In North America we have invested in our Insight sales force over the past 2 years and are seeing good progress in that business overall. As we move forward we will continue to invest modestly in Insight sales force, primarily to support growth strategy and healthcare vertical. We will also invest in our field sales force.
 As mentioned on the last call, we have recently launched the multi-city strategy throughout the U.S where we will invest in additional self service and technical engineering resources in key cities in alignment with our core partners. These teams will be focused on mid-market and large enterprise clients in the local markets, bringing deeper technical expertise around certain technologies to our clients.
 In EMEA, we plan to invest modestly in our sales team in the focus on improving the productivity of existing sales resources which we believe will result in incremental sales growth in 2013. We will also continue our efforts to drive higher sales around software asset management and data center solutions.
 We are also planning to continue expanding our hardware and specialty capabilities in key markets. And finally, we will improve the SG&A scale of this business as we realize the synergies of operating on a single IT system throughout the region.
 Our 2013 plans in Asia Pacific we are currently focused on software, included continued penetration of mid and public sector clients and development of more specialized software services capabilities. We will also integrate our Asia Pacific business onto our SAP platform in mid-2013, which will provide a platform for selling hardware in the region which we hope to launch in Australia in 2014.
 While market conditions have been muted over the past several quarters, we believe our execution in 2012 and our operating plans for 2013 will position our business for long term growth and increased earnings potential to drive shareholder value.
 I will now hand the call back over to Glynis who will discuss the fourth quarter 2012 operating results. 
Glynis Bryan: Thanks Ken. Consolidated net sales in the fourth quarter decreased 1% year to year to $1.35 billion and on a constant currency basis, sales decreased by a similar amount. Gross profit was $180.4 million, up 1% year over year and gross margin was 13.4%, an increase of 24 basis points from the fourth quarter of 2011, reflecting an increase in product gross margin and a high mix of fees from software enterprise agreements.
 Selling and administrative expenses increased 4% year to year in the fourth quarter and as a percentage of sales, decreased to 10.5% from 10%, 1 year ago. We continue to drive initiatives to reduce our fixed operating costs so that we can invest strategically in sales and services positions.
 In Q4, we recorded severance and restructuring expenses of $1.9 million in support of these initiatives. And as a result, earnings from operations decreased 13% to $36.6 million or 2.7% of net sales compared to $42.2 million or 3.1% of net sales in the same quarter of 2011. Excluding severance expense in both periods, earnings from operations margin was 2.9%, down from 3.2% last year.
 Our tax rate in the fourth quarter of 2012 was 40.3%, higher than our normalized range due to the mix of income earned in foreign jurisdictions which generally have a lower statutory tax rate and valuation allowances we recorded in certain countries in EMEA. This is notably higher than the 15.8% tax rate in the prior year quarter that reflects a significant benefit from the reorganization of certain of our foreign subsidiaries. All of this resulted in net earnings of $20.8 million and diluted earnings per share of $0.46 in the fourth quarter. Excluding severance expense, diluted earnings per share was $0.49.
 Within these results, net sales in North America were $908 million in the fourth quarter, down 2% year to year. Sales in our software category increased 8% year to year due to higher spending by new and existing clients, primarily for business productivity products. Hardware sales decreased 5% and services sales decreased 21%, reflecting lower volume primarily in the large enterprise client group.
 Gross profit in North America decreased 2% year over year to $118 million and gross margin decreased 12 basis points to 12.9%. Increases in margin due to higher product gross margin and increased fees from enterprise agreements were more than offset by the effect of lower services sales.
 Selling and administrative expenses for North America in the fourth quarter was flat year to year at $89.5 million and as a result of -- and as a percentage of sales increased 13 basis points to 9.9%.
 We also recorded $535,000 in severance and restructuring expenses in this segment in the fourth quarter compared to $464,000 in the same period last year. Earnings from operations in North America were $27.5 million or 3% of net sales in the fourth quarter of 2012, down from 3.3% of net sales in the fourth quarter of 2011.
 Moving on to EMEA. Our EMEA operating segment reported net sales of $378 million, up 2% in U.S. dollars. In constant currency, net sales increased 3%. Also, in constant currency, sales of hardware grew 21% due to the effect of our recent acquisition of Inmac.
 Software sales decreased 6% year to year due to lower volume across the region and sales of services increased 38%, both of these in constant currency.
 Gross profit in EMEA increased 4% in U.S. dollars and constant currency terms, with gross margin increasing 21 basis points to 13.4%. This increase was driven primarily by improved margins of our software category despite lower software sales in the quarter.
 Selling and administrative expenses in EMEA in the fourth quarter were up 13% in U.S. dollars and in constant currency, these expenses were up 14%. This increase year-over-year was primarily driven by higher salaries and benefits from investments in headcounts and the addition of Inmac to our portfolio in February of 2012.
 We have taken actions in the second half of 2012 to reduce our cost structure in EMEA and we will continue to review this in light of expected market and business performance in 2013.
 In the fourth quarter, we recorded severance expense of $1.3 million in the segment, up from $163,000 recorded in the same period last year. Earnings from operations in EMEA were $4 million in this fourth quarter, down from $8.5 million recorded last year.
 In APAC, our Asia Pacific operating segments reported net sales of $60 million, down 12% year to year in U.S. dollars and down 15% in constant currency terms. Gross profit was $12 million and gross margin was 20%, up from 14% last year due to higher partner funding and a higher mix of netted software sales.
 Selling and administrative expenses in APAC increased 11% in U.S. dollars and 8% in constant currency due to investments in sales and services headcount. Our Asia Pacific segment reported earnings from operations of $5.1 million, which was up 52% year-to-year.
 Moving on to our cash flow performance. For the year ended December 31, 2012, our operations generated $67 million of cash, compared to $116 million in 2011. This decrease was primarily due to an increase in purchases from partners financed onto our inventory financing facility. The cash for these partner transactions are reported in the financing section of our statement of cash flows, but related client account receivables are included in operating cash flow.
 In addition, our cash conversion cycle was 24 days in the fourth quarter, up 2 days year to year, due primarily to higher accounts receivables in North America. Also, our accounts receivables and accounts payable balances increased notably year over year due to a single significant transaction with a public sector client late in the fourth quarter.
 In 2013, we expect cash flow from operations to be within our historical range of $80 million to $110 million. We also invested $30 million in capital in 2012, compared to $27 million 2011, primarily related to our IT systems integration initiatives in North America and EMEA. And we spent $3.8 million on the acquisition of Inmac and EMEA in the first quarter.
 All of this led to a cash balance of $152 million at the end of 2012, of which $127 million was resident in our foreign subsidiaries and $80 million of debt outstanding under our debt facility. This compares to $128 million of cash and $116 million of debt outstanding at the end of 2011.
 One last item before I turn the call over to Ken. As announced today, our Board of Directors have approved a plan to repurchase up to $50 million of our common stock. These share repurchases will be made on the open market through block trades both through 10B5-1 plans. We intend to execute the buyback in the first half of 2013, subject to general business conditions and working capital requirements.
 I will now turn the call back to Ken for his closing comments. 
Kenneth Lamneck: Thank you, Glynis. For the full year of 2013, we expect the global IT market to grow in the low single digit range, with trends improving throughout the year. We expect our business to go slightly faster than the market as we continue to invest in our sales force, expand our capabilities into key markets.
 For the full year of 2013 we expect diluted earnings per share to be between $2.22 and $2.32. this outlook includes the adverse effects on gross profit of previously announced partner program changes in our software category which is estimated to be between $8 million and $12 million and effective tax rate of 36% to 38%, the completion of a share repurchase program of the $50 million in the first half of the year and capital expenditures of $18 million to $22 million. This outlook excludes severance and restructuring expenses.
 Thank you again for joining us today. I want to thank our teammates, clients and partners for their dedication to Insight in 2012. We look forward to a successful year together in 2013. That concludes my comments and we will now open up the lines for your questions. 
Operator: [Operator instructions] Our first question comes from the line of Matt Sheerin with Stifel Nicolaus. 
Matthew Sheerin: Good afternoon everyone. First question regarding your guidance for the year, Ken. Given all the puts and takes, including the buyback, it looks like you are going to shake out just around 3% or so operating margin and I know that the goal, the target for the company is to get to 3.5% by 2014. I certainly expected you to be closer to 3.2%, 3.3% in 2013 on your way to that target. What are the puts and takes that keep that margin down? Is it the volume? Is it the mix of business? Is it the fact that it's going to take a while for the services business to come back because of some of the strategy changes there? 
Kenneth Lamneck: I think -- thank you for the question. Certainly some of it is certainly volume related. We did well in the software category. The hardware category did hold us back a little bit as you could see from our result that we pointed to. So that certainly had some impact. I think the services fees, again we really righted the ship as far as growing the gross profit dollars and now we are very focused on growing the top line in the services category. So those are two certainly important elements there. 
Glynis Bryan: What I would also add to that, Matt, is that we have some savings that are coming through from the systems initiative, but as we stated in our third quarter call, we are specifically reinvesting in the sales and services product business going forward such that we will in the longer term drive higher revenue growth and that's actually putting a moderator on our EFO margin in 2013 and then you are correct, I would say that flat EFO margin is where this guidance would come up for 2013. 
Matthew Sheerin: Okay. And you feel comfortable with that target, Ken, for next year, for 2014? 
Kenneth Lamneck: When we look at the trajectory, Matt, as you know we did talk about 3.5% at the end of 2014. We think that the trajectory on certainly probably a safer assessment of that is that it would be pushed into 2015. Obviously we will work diligently to pull that in, but realistically based on the trajectory that would be a pretty significant gain year over year to get to the 3.5%, 1 year from now. 
Matthew Sheerin: And then on Q4 that just ended in your commentary about demand, still being fairly weak, particularly on the enterprise side. It looked like some of your competitors and other distributors have seen at least some snap back toward the end of the quarter. Looks like deals were getting done. Why didn't you see -- I guess you saw some of that, but it sound like you did see some push outs as well. So why do you think that's a difference there? 
Kenneth Lamneck: Certainly on the software side we did see that growth in the quarter and the hardware side is where we saw certainly the miss there and certainly when you look at the large enterprise clients we do business with as we check those very, very closely. Indications that wasn't really a share loss for us. It's just their level of participation in that growth rates and some of these again are pretty significantly large clients, we didn't see that same growth. But we track them pretty closely and I am sure there's always a few accounts that move sideways between all of us as competitors. But in general, as we looked at that, that was not certainly the case overall for us. So those larger clients that we service didn't participate nearly as great on the hardware side of the business. Although we did see it as you could tell on the software side where we do gain share in the quarter on software, but not so much and certainly not in the hardware side. 
Matthew Sheerin: Okay. And then just lastly on your commentary on 2013 regarding the adverse effect on gross margin due to the software program, your partner program, that incremental $8 million to $12 million. I was under the assumption that you saw a lot of that sort of play out in 2013. Are there additional -- 2012, sorry -- Are there additional changes to those programs that will drive gross margin in the software business lower? 
Kenneth Lamneck: Yes. It's actually, Matt, as you might recall it was over a 3 year window that this large partner had announced those changes. So it's '12, '13 and '14 and just the way they fall for us '13 actually is the most significant year of the impact compared to '12 and 2012 and 2014. But again that's all built into the guidance and obviously we are working diligently to make sure and have been for quite some time to remediate that. In 2012 we did a successful job in certainly remediating that difference. Now that's what we are up against in this year, but again that's all in our guidance. 
Operator: [Operator instructions] Our next question comes from Brian Alexander with Raymond James. 
Brian Alexander: Just a few clarifications. Glynis, I think when Matt asked the question about operating margins for 2013 he assumed something closer to 3% which was the number that I came up with, but I think in your answer you suggested that it would be more flat versus 2012. So I know we are only talking about 10 basis points, but I was trying to get a sense for whether we should be thinking something closer to 2.9% or should we be thinking something closer to 3%? 
Glynis Bryan: We should be thinking something closer to 3%. 
Brian Alexander: Okay. So it should be up year over year? 
Glynis Bryan: Yes. 
Brian Alexander: Okay. And then just in terms of the hardware business and the large enterprise customers that aren't spending. Are those concentrated in any certain verticals or can you just give us a sense for what your customer concentration is in the large enterprise segment? Is it dominated by just a few customers? Because I guess I agree with Matt's point that we have seen hardware revenue decline I think for the last 5 quarters and the overall market is flat to up and I'm just trying to get a sense for whether there might be some market share loss here and if so if that confined to certain product categories. Is there another answer that might explain it with respect to sales coverage or go to market? Or is this really just less spending by a few customers? 
Kenneth Lamneck: Yes. The key vertical for us and of course very significant for the industry is the financial vertical and that vertical certainly has been challenged and we have a significant volume of business in that specific vertical and for us we certainly saw that to decline. So that one vertical. And again we have seen the trend in here as you know for the last couple of quarters which is why we started a program with our specific city plan which really helps address and augment the field coverage because the inside investments that we have made we have actually seen nice growth and we think certainly above market growth from the inside piece, but the field piece is such a large part of the business that we need to do further investments there and that's where we built the city plan structure around certain key cities, 14 cities specifically right now in the U.S market that we will be building more structure around field sales as well as technical resources and service delivery folks into those specific markets to really get to that, again not the highest end of the enterprise clients, but certainly those large clients that we need to service with a more direct field focus than just inside. 
Brian Alexander: So when you talk about the 2013 outlook for revenue growth for the industry to be up low single digits, Insight could grow slightly faster I assume you are hoping to grow 4%, 5% overall. What are you assuming within that with respect to the large enterprise segment and the investments that you have been making and the large concentration in the financial vertical? Are you assuming that that picks back up? Or are you assuming that that stays weak and the other segments offset it? 
Kenneth Lamneck: I think we certainly believe that there will be growth in that segment as it's been a little bit challenged over this year as well as even the last year. So I think that does start to pick back up. We don't think it ends up being at the 4% to 5% range, but we certainly do see growth there and again that's where we expect to anticipate to see growth from the investments that we are making in these other accounts as well. 
Glynis Bryan: Brian, if I could just also add on to Ken's comment. The other thing consistent with what many of our peers have said, we also anticipate that the growth is going to be more muted in the first half of the year and strengthen in the second half of the year. 
Brian Alexander: Okay. And Glynis, on the gross margins in North America, you said that they were down year-over-year and I think you talked about the services mix hurting you. But with the customer mix helping you, I guess large customers being down I would think would help gross margin, software being up I think would help gross margins. And then I thought within services you guys were remixing towards more profitable services. So I was just a little bit confused by the commentary around gross margin. So maybe just some more detail on what drove that. 
Glynis Bryan: I think that in general our hardware underperformance at the top line is reflected in the ultimate margins that flow through. We also, on a margin percent, have an impact from the program changes that impacts margin more significantly and we also have an impact as it relates to specifically in Q4 our services contribution was not as strong as it has been in prior quarters. So in prior quarters we have seen strength -- we have seen deterioration in our services revenue, but strengthening in our services margin. We saw strengthening in our services margin in Q4, but not to the same extent that we had seen in prior quarters hence we didn't get the uplift from a margin perspective in Q4 that we would have anticipated. 
Brian Alexander: Okay. And then just over in Europe, if I'm doing the math correctly on your hardware business, I know you said it was up 21% in local currency, but I think if you back out the acquisition, it was down maybe double digits. So maybe… 
Glynis Bryan: On an organic basis in Europe in hardware, excluding the acquisition, revenues would have been down 8% organically in hardware. 
Brian Alexander: 8%. Okay. And so when you look at that and you look at software down 6%, clearly Europe is not a strong economy or a strong IT spending environment over there. How much of the -- how do you think you are doing versus the competition and how comfortable are you with just the overall org structure and go-to-market over in Europe? 
Kenneth Lamneck: I would say that as we get the data as you know Brian, it's not as clean data sets as you get here in North America from a share point of view. But the indications that we can read through from some of the different reports and certainly from our partners is we are probably flat to down from a share point of view in Q4 in our European business is our best estimate. And we think certainly as we commented that there is opportunity for us to take advantage of a lot of the investments and productivity that's needed there to get the SG&A more in line as well. 
Brian Alexander: Okay. And then just finally as you guys -- I guess you are halfway through Q1. Has the customer behavior changed at all in the early part of the year, relative to how it's been for the last 1 or 2 quarters and relative to what you would normally see this time of year which I understand it's not a vibrant time of year? But I am trying to get a sense for whether you have seen any change in tone or demand patterns or is it basically just seasonal? 
Glynis Bryan: I think we haven't really seen any change in the demand patterns. the underperformance in hardware that we saw in 2012 we see that continuing into 2013 the first quarter, at any rate, in terms of the visibility that we have and consistent with the guidance range that we gave we expect our year-over-year comparisons to improve in the back half more so than in the first half. So we would expect EFO to be flat to slightly down in Q1. 
Brian Alexander: Okay. Well, I guess I will sneak one more in on the buyback. Is that something you would expect to execute ratably over the year? Is it more opportunistic based on where the stock price is? How are you planning on executing that? 
Glynis Bryan: We are planning on doing it ratably within an effective start date, probably in March as we have got a 10B5-1 plan in place. So we'd anticipate that it would be completed depending on how the volume of our trading activity in the stock, sometime in late second, maybe early third quarter just based on the volume of activity and the stock going forward. And for planning purposes, you can anticipate it's going to be between $0.08 to $0.10, but more significant in the second half of the year than the first half of the year given the timing of when it starts and how the weighting of the shares works throughout the year. 
Operator: [Operator instructions] Presenters, I'm showing no additional questioners on the phone queue. I'd like to turn the program over to Kenneth Lamneck for any additional or closing remarks. 
Kenneth Lamneck: Thank you very much, and we'd like to thank everybody for their participation. 
Operator: Ladies and gentlemen, this does conclude today's conference. Thank you for your participation and have a wonderful day. You may now all disconnect.